Operator: Good day, everyone, and welcome to the Genesco First Quarter Fiscal Year 2013 Conference Call. Just a reminder, today's call is being recorded. Participants in the call expect to make forward-looking statements. They reflect the participants' expectations as of today, but actual results could be different. Genesco refers you to this morning's earning release and to the company's SEC filings, including the most recent 10-K filing for some of the factors that could cause differences from the expectations reflected in the forward-looking statements made during the call today.
 Participants also expect to refer to certain adjusted financial measures during the call. All non-GAAP financial measures referred to in the prepared remarks are reconciled to their GAAP counterparts in the attachments to this morning's press release and in schedules available on the company's homepage under Investor Relation. I would now like to turn the call over to Mr. Bob Dennis, Chairman, President and Chief Executive Officer. Please go ahead, sir. 
Bob Dennis: Good morning, and thank you for being with us for our first quarter earnings call. With me today is Jim Gulmi, our Chief Financial Officer. As a reminder, Jim's detailed review of the quarterly financials has been posted to our website along with the press release from earlier this morning. 
 I'll begin this call with a few remarks about the first quarter and how we are thinking about the rest of the year, and then I will turn the call over to Jim for a review of the numbers. And then, I'll return to provide some color on our operating segments before we open the call up for your questions.
 Our fiscal year is off to a very good start. The strongly positive sales trends that have characterized our business for the past 7 quarters beginning with Back-to-School in the fiscal 2011 continued in the first quarter. Our 9% comp comes on top of a 14% comp a year ago and follows a 12% gain in the fourth quarter. Through last Saturday, second quarter comps were up 7% versus 12% over the same period last year. We have been able to maintain momentum despite more difficult year-over-year comparisons, thanks to our businesses' strong strategic positioning, favorable fashion trends and excellent execution by our operating teams. This top line strength continues to drive operating expense leverage and profitability above expectations.
 The prospects for our various growth initiatives remain positive. First, as we'll discuss in more detail later in the call, Schuh continues to outperform our expectations even as macroeconomic conditions in the U.K. had weakened, and we are moving quickly to take advantage of a weak real estate market by accelerating store openings there.  Second, we remain excited about Canadian expansion opportunities for Lids Sports, Journeys and Johnston & Murphy with 30 new stores planned across all our concepts for this year. Third, we continue to focus on expanding our e-commerce business across the company with specific initiatives that vary by division. And finally, we continue to be excited about the potential for further U.S. expansion in the Lids Locker Room and Clubhouse space.
 As you saw from this morning's earnings release, based on our strong first quarter results, we have raised our full year outlook. Now I know you've heard us say this before, but we continue to believe we should be conservative in our guidance. While second quarter comps through this past Saturday were up 7%, we are still guiding off low comps, especially given the tougher 2-year comparisons that begin in the third quarter. 
 Consumer credit in March rose 10.2%, the biggest jump in more than a decade, which is ultimately not a sustainable growth driver of long-term retail spending. We believe our industry has to be prepared to see demand soften when the availability of credit or the consumers' appetite for additional debt lessens. However, in the short term, we are relieved to see gas prices moderate, which especially helps the teenagers budget. We also remain cognizant of a challenging economic environment in the U.K. As a result of all of these concerns, our guidance for the remainder of the year continues to be predicated on low single-digit comp increases.
 However, we don't think this prudence in our planning greatly limits our near-term upside if business conditions do turn out to be better than we anticipate. We have demonstrated the ability to capitalize on better levels of demand in the past, helped by our strong vendor relationships, and we are confident we'll be in a position once again to chase additional sales should our near-term outlook prove to be conservative. And now, let me turn it over to Jim. 
James Gulmi: Thank you, Bob. Much of the detailed financial information for the quarter has been posted online so I will only be making a few comments. The first quarter came in better than our forecast. Comp sales were up 9% for the quarter. This compares with 14% comps in the first quarter of last year. This was led by a 12% comp increase on top of a 14% increase last year for the Journeys Group. A 4% comp increase on top of a 16% increase last year for the Lids group and a 4% comp increase on top of a 10% increase last year for Johnston & Murphy in the first quarter. The Journeys Group's comps in both periods have been adjusted to reflect the simulation of 135 Underground by Journeys stores.
 I'll remind you that these comp sales do not include our direct business, that is e-commerce and catalog sales. The direct business increased 67% in the quarter due in large part to the addition of Schuh UK's e-commerce sales. Excluding Schuh UK, direct sales increased 8% in the quarter. 
 Month to date, same-door sales -- same-store sales through May 19 increased 7% and direct sales increased 5% on a comparable basis. Consolidated net sales for the quarter were $600 million, an increase of 25% over last year. This includes sales of $70 million from our Schuh UK acquisition in June of last year. Excluding Schuh UK sales, sales increased 10% for the first quarter.
 We earned $0.98 in the quarter, adjusted as shown on the attachment to our press release compared to last year's adjusted earnings per share of $0.67 or an increase of 46%. Gross margin in the quarter was 51.5% compared with last year's gross margin of 51.4%.
 Adjusted for all the items broken out in the press release, we were able to leverage expenses by 90 basis points in the quarter. Adjusted expenses as a percent of sales improved to 45% this year compared to 45.9% last year. The strong leveraging expenses was primarily driven by rent and selling salaries. Expenses included increased bonus accrual driven by our stronger performance in the quarter and $0.08 per share of additional contingent Schuh UK acquisition bonus accruals related to the better-than-expected operating performance in the first quarter. Just to remind you, this is a one-time payment built in the acquisition agreement that is contingent on Schuh UK's performance during the first 4 years of our ownership.
 For the quarter, adjusting operating -- adjusted operating income increased to $39.1 million or 6.5% of sales compared with $26.8 million or 5.6% of sales last year. This represented a 46% improvement.
 We ended the quarter with $55 million in cash compared with $57 million in cash last year and with $36 million in debt. All of this debt represents a remaining amount of U.K. debt assumed in connection with the Schuh UK acquisition. Since the June 2011 acquisition, we have paid down $12 million of the U.K. debt.
 Inventories were up 20% year-over-year compared with the sales increase in the first quarter of 25%. We continue to feel good about our overall inventory levels. For the quarter, capital expenditures were $14.1 million and depreciation was $14.4 million. This compared with $9.6 million and $11.5 million, respectively, last year.
 Now I would like to spend a few minutes on our guidance for FY '13. Based on our strong start to the year and current visibility, we are raising our full year outlook. We now expect diluted EPS to be in the range of $4.70 to $4.82, an increase from our previous range of $4.58 to $4.70. Using the high end of our new range, this represents an 18% increase over last year. This is on top of the 65% increase in EPS last year and a 33% increase the previous year.
 The new guidance reflects the full year upside from the first quarter versus our budget, which was slightly higher than the consensus estimate. It was also adjusted to reflect higher preopening expenses with the remainder of the year than we originally planned as a result of our accelerated store opening plans for Schuh UK. Finally, it also reflects higher accruals for the balance of the year than we had earlier planned for the contingent bonus built in the Schuh UK acquisition agreement. Because Schuh UK is performing better than originally planned, the accrual is above plan.
 Consistent with previous years, this guidance does not include about $1.5 million to $2.5 million pretax or $0.04 to $0.06 per share after tax and expected non-cash impairments. This amount compares with last year's non-cash impairments, other legal matters and network intrusion expenses of $2.7 million pretax or about $0.07 per share after tax. In addition, we will continue to exclude the amortization of the Schuh UK deferred purchase price from our EPS guidance. The deferred purchase price amount in FY '13 is expected to be approximately $12 million or $0.49 per share. The guidance does include the full year accrual for the contingent bonus built into the acquisition agreement, which we currently expect to be approximately $13.6 million or $0.42 per share.
 The following are assumptions we used to develop this guidance: First, we're assuming a comp increase of about 2% to 3% for the last 3 quarters. The assumed comp increase for the full year, including a 9% increase in the first quarter, will be in the range of 3% to 4%. As Bob mentioned, we are off to a good start with comps up 7%, but we are obviously not banking on sustaining that level for the second quarter or the full year. In addition, May is the smallest sales month of the year, only makes up about 28% of our overall sales volume in the second quarter. We're also assuming an overall sales increase of about 12% to 13% for the year. Adjusting for acquisitions by excluding sales of businesses not owned for the entirety of fiscal 2012, Genesco sales are expected to increase about 7% to 8% for the year. 
 In case this year has an addition of Schuh UK sales and the 53rd week in the fourth quarter may cause some confusion about the quarterly distribution of our annual sales, I'm going to give more detail than I normally would about how we see sales in the remaining 3 quarters of the year. Our current planning assumes that approximately 20% to 21% of the sales for the year will come in the second quarter, approximately 25% in the third quarter and approximately 31% in the fourth quarter. Our guidance assumes a gross margin decrease of about 10 basis points and positive expense leverage of about 50 basis points. This results at an operating income improvement of about 40 basis points to 7.4%.
 The tax assumption is about 37%, and the share count assumption for the full year is about 24.3 million shares. We're also expecting capital expenditures for the year of about $92 million and depreciation will be about $59 million. We are forecasting 116 new stores and are planning to close about 51 stores. This increase from our earlier forecast of 100 new stores includes 8 additional Schuh UK stores, which will be opened late in the fourth quarter. We expect to end the year with approximately 2,452 stores, an increase of about 3% over fiscal 2012. We are also forecasting square footage growth of about 5% of fiscal 2013.
 Now I'll turn the call back to Bob. 
Bob Dennis: Thanks, Jim. At Journeys, strong fashion trends drove another quarter of robust growth, with first quarter comps for Journeys Group up 12% versus 14% last year. Quarter-to-date through last Saturday, comparable store sales were up 10%. Our spring merchandise assortments are resonating with consumers, which gives us confidence about our prospects for summer and our plans for Back-to-School. ASPs in the Journeys stores were up 9% in the quarter, some of that coming from the stores being less promotional in the quarter than last year. Excluding the promotional offset, we estimate that the ASP increase was mid-single-digit. We saw the first significant ASP increase in the fourth quarter last year so we have 2 more quarters to go before we anniversary these higher ASPs.
 Shi by Journeys and Journeys Kidz posted strong comps during the quarter. These results were encouraging, as both chains began to anniversary tougher comparisons in the first quarter. For Shi by Journeys, we still need to improve four-wall profitability before we will be ready to resume growing the store count, but we continue to be encouraged by their trend. 
 We continue to view the Canadian market as a meaningful opportunity for Journeys, and we are moving quickly to capitalize on it. During the quarter, we opened 5 stores, increasing the Canadian store count to 18 with plans for 7 more openings over the balance of the year. Journeys.com was up 5% in the quarter on top of 29% last year helped by increased traffic. As we discussed in our year-end call, Journeys has plans to further boost e-commerce by significantly broadening the online merchandise offering and is actively working on some infrastructure improvements to support that initiative.
 Journeys.com is also enjoying healthy growth in mobile traffic, which is more marketing than transactional but is clearly an important part of our relationship with our customers. Mobile is now roughly 30% of Journeys overall digital traffic and growing at a very rapid pace. And it is a very important part of making Journeys and Journeys.com all part of a dynamic and integrated system for serving our customers.
 The plan to convert most of the Underground Station stores into Underground by Journeys remains on schedule. We are getting good support from the landlords on rebranding the stores with new signage and other physical store changes. The redeployment of field personnel done in February to manage the entire Journeys Group more effectively seems to be driving improved results in the stores. We are still operating these Underground stores with the old merchandise mix. The remerchandising initiatives are underway, but as we have said before, we don't expect to see the changes to be visible in the stores until Back-to-School and we don't expect to see their full effects on operating results until holiday.
 The strong top line performance in Journeys has translated into a solid operating income improvement. Operating income increased 45% in the quarter, and operating margin increased by 220 basis points to 9.6%.
 Turning to Schuh, the businesses continued to perform well above expectations through the first quarter and into May despite the news that the U.K. recently fell back into a recession. We remain bullish about Schuh's growth prospects, and as I've mentioned, we have accelerated our expansion plans this year to take advantage of the real estate opportunities that have surfaced as a result of the economic slowdown. The plan is now to open 16 stores in the U.K., doubling the plan we had at the start of the year. Schuh's operating income, excluding the effects of the GAAP requirement to expense deferred purchase price but including a $2.5 million accrual of a portion of the one-time contingent bonus that was built into the acquisition as a performance-based enhancement to the purchase price, was essentially a breakeven for the quarter, which was better than planned.
 The Lids Sports Group had another solid quarter, with comps up 4% versus 16% last year. Quarter to date, through last Saturday, comparable store sales were 5%. In the Lids hat store, the growth drivers were consistent with the past few quarters, including the expansion of the embroidery business, which is now available in 652 stores. Snapback hats, which have been a fashion item for the past several quarters continue to be an important driver of the business. We know there is some buzz in the market that this trend may have peaked, but snapbacks are still selling nicely at Lids. As we pointed out on our year-end call, we have been anticipating that this trend will eventually cool and I've always positioned our inventory accordingly. We also believe that snapbacks were not incremental sales, but rather they took demand from fitted hats and Major League Baseball and other categories, and we expect those categories to improve when snapback demand weakens.
 One other category of interest is the NFL, which is switching licensees beginning with this upcoming season. The NFL is not a significant part of the business in the first half of the year, but the early reads on the new NFL product from our new vendors are quite favorable. 
 Developing Lids Locker Room continues to be a major focus. We believe the long-term growth prospects for the Locker Room stores are substantial, and with growth comes market leverage. At the same time, we are exploring new partnerships with professional and college teams to expand the Clubhouse concept. We plan to add 11 Locker Rooms and 7 Clubhouse stores this year between the U.S. and Canada. We have both a good pipeline of potential regional acquisitions and very strong interest from landlords for brand new stores.
 Sales of the Lids Sports Group's e-commerce business were up 2% in the quarter on top of a 42% increase last year. At Lids Team Sports, the integration of the 3 businesses we acquired over the last few years is moving forward nicely. Performance metrics like fill rates and orders booked are on positive trends. That said, there's still work to be done developing the proper infrastructure, including implementing improved systems and processes to better support future growth and achieve our vision for redefining how this industry operates. Operating income in the Lids Sports Group was up 37% in the quarter, and operating margin improved by 220 basis points to 10.5%. 
 Johnston & Murphy delivered a solid first quarter, driven primarily by strong demand for dress shoes that are being purchased by a broad age range of customers for work and after-work occasions. Comps were up 4% versus 10% last year. Second quarter-to-date comps, which are flat, are reflecting Johnston & Murphy's usual sensitivity to stock market performance and as such, they don't challenge our confidence in the overall direction of the business. 
 Notably, the direct business has remained strong in May. The growing strength of the Johnston & Murphy brand and the broader appeal of the merchandise selection have given us more conviction to expand the store base with an emphasis on premium outlets. This year, we plan to add 13 stores including 6 outlets. Johnston & Murphy is also continuing to pursue new opportunities outside the U.S. During the first quarter, we signed a distribution agreement for Latin America, which adds to our growing international presence, which also includes Canada, Mexico, Japan and India.
 Our non-store Johnston & Murphy business was especially strong in the quarter. Johnston & Murphy wholesale sales increased 14%, and Johnston & Murphy direct sales, which include e-commerce, increased 20%. Operating profit for Johnston & Murphy was up 38% and operating margin improved by 180 basis points to 7.8%.
 And finally, Licensed Brands posted a modest sales gain in the quarter. We believe that several key wholesale accounts are beginning to move back towards branded products in men's footwear after favoring private label for several seasons. Licensed Brands operating income was essentially flat with last year.
 To close, we are very pleased with our start to fiscal 2013. Our businesses each operate from positions of strength as leaders in their respective markets. The actions taken during the recession to further strengthen our market position, especially in real estate along with favorable fashion trends, have our businesses tracking towards another year of solid sales and earnings growth. We continue to focus on our current growth initiatives, the primary ones being the Schuh business, Canadian expansion across all of our U.S.-based retail divisions, Lids Locker Room and e-commerce. 
 Our continued strong performance puts us well on track to achieve our 5-year plan of $3.1 billion in sales and 9% adjusted operating margins by fiscal 2016. We're particularly pleased with our progress so far on operating margin, which has improved from 5.5% 2 years ago to a projection of roughly 7.4% this year. This progress is a testament to the commitment of each of our operating divisions to pursue profitable growth and their exceptional skill at executing these plans. Congratulations to our entire team.
 And operator, we are now ready for questions. 
Operator: [Operator Instructions] We'll take our first question from Jeff Klinefelter with Piper Jaffray. 
Jeffrey Klinefelter: I wanted just to ask you a couple of questions. One, first of all, Jim, you commented on the second quarter, May being the smallest month of the quarter. Could you remind us just, at least generally, what the cadence of the business was last year? Do your compares kind of get harder as you go through the second quarter? Easier? Are they kind of consistent? And then also wanted to know, Bob, on the embroidery, 650 stores in Lids. What is kind of the average productivity in four-wall for those versus the non-embroidery stores? And I have one follow-up as well. 
Bob Dennis: Yes. Let me just talk-- while Jim gets the numbers. On the comps, we had a very strong year all of last year where the second half gets more comparison -- more challenging as if you do a stacked comp. Because where comps really took off for us were 6 quarters ago, starting with Back-to-School 2 years ago. So it's really, when we get to the third quarter, we're going against 2 years of more challenging comps. Jim can give you the numbers. 
James Gulmi: Yes. Last year comparisons for total, the month of May and July were pretty close. July was a little higher than May, and June was higher. So actually, it's -- May was the lowest. It got higher in June and then it kind of dropped back in July. 
Bob Dennis: And then, Jeff, on your embroidery question, I'm going to sort of duck it. I don't have the numbers here, but it's actually not going to give you the visibility you want. The bias for us is to put embroidery stores in our higher volume stores, and the ones that frequently don't have embroidery are ones that were lower volume in the first place. So that comparison really isn't going to show you a lot. I mean, what we do know, and we've said this in the past, is when we have embroidery retrofitted into a store that didn't have the displays any other product, we got about an 8% pickup. The other good thing about embroidery is it still comps -- if you look at it on a comp basis, we continue to learn how to sell it, execute it really well, so it's comping strongly. So we grow that base of our business very nicely. 
Jeffrey Klinefelter: Okay. One other one, just generally as we look into the second half of the year, I mean, there are lot of concerns about footwear. There are some concerns in particular about broadly define the boot category and what happened last year in the fourth quarter. You're talking about your comparisons getting tougher, your stacks getting tougher. Describe how you view the outlook? Your opportunities to navigate through that environment both your own comparisons and also kind of the dynamics in the industry? I mean, if you have ASP pressure, what are your opportunities to go after more units? 
Bob Dennis: Yes. Now, Jeff, as you know, we don't call out a lot of trends or future commitments for competitive reasons. What we do is we flex our assortment to align with what the teenager wants to wear. And the beauty of our business right now is that demand is across so many different categories of merchandise. Everything from athletics, skates still an important business for us. The rest of athletics is strong and then that gray area, that's athletic shoes that are really truly fashion shoes even from other brands. And then the boat shoe business is strong. We've got so many things going on that we will be assorting to what we believe is the right mix. Boots will be an important part of our business. They were last year. They will be this year and certain vendors that have been important there are going to continue to be important. But in terms of giving you sort of a skew on our mix, we're going to duck that. And when you think about ASPs, yes, the strength of the boot business year-over-year will affect our ASPs. But in years where we've had ASP increases, we have demonstrated our ability to make it up on units because we really buy our inventory to a dollar number. And so, we'll be looking to sell what we think is in most demand in the store. I have to leave it at that. 
Operator: We'll take our next question from Scott Krasik with BB&T Capital Markets. 
Scott Krasik: Maybe just help us understand exactly what's going on with the e-commerce. I mean, you talked about the initiative at Journeys, May to date Lids [ph] were negative and Journeys is just sort of growing low single digits. How do you view your ability to grow that business and what's the right growth rate? 
Bob Dennis: We're -- our growth rate -- first of all, when you look at the comps, make sure you look at the comparisons because we had a lot of initiatives that we're sort of in blast off mode a year ago. Look, we're being aggressive in all of our businesses given the big opportunity of e-commerce and our approach is shaped by the belief that in the long run, our retailer that has both stores and a robust e-commerce presence is best positioned to win share. And especially if they're seamlessly integrated and operated in a way to complement each other, and so that's where we’re headed. And we believe that the e-commerce, there's as much marketing as -- we called out the growth in mobile at Journeys and we think that's a very important part of it. So if you just use Journeys as an example, we're driving this convergence between our stores, and the digital world is really a total system for serving customers. So you can buy online, you can return to Journeys, the online store has all of our inventory represented both the DCs and the stores. The Journeys stores all have screens accessible to our customers. That allows the customers to see what we have, and we've learned recently that our customers will go into our stores and buy something that we don't have on hand either because we've stocked out or because it's a smaller volume store and it didn't get a full allocation of the full assortment. So we're learning how to fulfill the orders promptly in our stores. If you think about the teenagers, they use mobile all the time. That's what they do. And a lot of what we're seeing is a lot of kids will -- they go to the mobile phone, they look at that Journeys.com, they decide what to buy and they come into the store. And we've got to figure out all the ways in which we make that a driver of what we do. And particularly given that not all of our stores are assorted to the full range of Journeys, that gives us the opportunity to even broaden the range, even to SKUs that may not be in any of our stores or say our top 10 volume stores. So what we're looking to do is take advantage of the fact that we're both Internet and store. This is a long-term place, so I'm not going to give you a growth rate on it. But we think at the end of the day, we get to win in the space and especially get a big benefit when hopefully, at some point, the sales tax and balance gets equalized. 
Scott Krasik: Just anything to that negative comp of Lids [ph] in May in e-commerce? 
Bob Dennis: Well, there was a -- the comp last year was a breakout event as forty something. And that was driven by the fact that when snapbacks got hot, people wanted to have them now. And before we even got to ship them  to the store, we had them on the web. And so people were running to the web to get this very hot product. So you really have to look at the stacked comp to get the trend. 
Colin Temple: Yes, it was about 40% last year. 
Scott Krasik: Okay. And then just help us now because you have the apparel and some of your Lids Locker Room stores. How big is the NFL for you in maybe Q3 and Q4 and what part of that is hats versus jerseys? 
Bob Dennis: Well, if you do -- first of all, the NFL business and the hat stores, which is reflective of the NFL business. It grows steadily through the third quarter and the fourth quarter. And so it keeps accelerating as you get deeper into the season. So that's the first thing to do be mindful of. And then if you look at our overall Locker Room stores, the percentage overall of hats, it's something like -- and Jim's trying to run for the numbers, but it's about 20% hats. It's about 30%, 40% apparel and then the rest is the hard goods in the back, in that ballpark. And NFL will mirror that. 
Scott Krasik: And NFL within the Locker Room is the biggest portion or... 
Bob Dennis: You mean of all the sports? 
Scott Krasik: Yes, within the... 
Bob Dennis: Not by sport category? No. 
James Gulmi: It was not in the first quarter. 
Bob Dennis: No, it's nothing in the first -- I don't know it is for the year, Scott. Jim's digging for it. 
Operator: We'll take our next question from Sam Poser with Sterne Agee. 
Sam Poser: Question about Schuh. When you say it beat your expectations, can you give us some idea of the magnitude of the beat? And also how you think about relative sales by quarter of Schuh compared to the balance of the business as you gave it to us? 
Bob Dennis: Sorry, what's the second half of that, Sam? 
Sam Poser: You discussed the percent of total sales for the balance of the year, how you thought about second, third and fourth quarter. I wondered how Schuh varies from that so we can use a better planning because it came in significantly higher than what I expected. I don't know how much higher it did than you. And that's why I'm trying to get a gauge on how you look at the rest of the year there. 
Bob Dennis: Yes. Well Sam we're not disclosing a comp on -- we don't really -- not comp in our business, and we're not getting into that. We had bought the business with fairly conservative assumptions with a pro forma build-off of sort of low single-digit kind of comps. And they're beating that by a healthy margin. So we're very, very pleased with what the results are coming out of that, especially given the challenges in that economy. So we're happy with that. And Jim, do you know the percentages to the second question? 
James Gulmi: The percentage breakout by quarter is what you're looking for, Sam? 
Sam Poser: Correct. 
James Gulmi: Okay, well... 
Bob Dennis: Well, Jim did. Schuh, the cadence on that is a little different in the first half of the year, where Journeys is softest in the second quarter and Schuh is softer in the first quarter. Do I have that right Jim? 
James Gulmi: Yes. Okay. So second quarter, Sam, it'll be about roughly -- it'll be around about the same as total Genesco that we gave earlier, 20% to 21%. And in the third quarter, about 24% to 25%. And then in the final quarter, the balance maybe, hopefully it will workout 30% to -- 32% to 34%. 
Sam Poser: Okay. And then, secondly, Bob -- thanks, Jim. Bob, what do you think is making for the strong performance there? I mean, what's the driver given the tough environment? Why is it working versus the expectation? Is it product? How much of you guys had a part of it? And how much do you think you guys could do? Just for the given business, not talking about opening stores or anything. 
Bob Dennis: And you're talking Schuh still? 
Sam Poser: Correct. 
Bob Dennis: Yes. It's product. Product is a huge chunk of it, but the product comes because we have a terrific merchant team that is executing and figuring out how to position that store properly. They're getting access to all the right brands. Our team here in the U.S. is giving them a little extra access on a couple of brands and helping them get more access to exclusive product that is exclusive to Journeys here and is now exclusive to Schuh in the U.K. They're just great operators as well. You have got to get over there sometime, Sam, and see the stores. They're extremely well run. It's easy to see why a customer is loyal to Schuh. And so -- but it is retail, branded retail. And so at the end of the day, if you had to pick any one thing out, it's going to be the assortment that's really driving things. And the story there is the same as the story here. It's a very broad set of trends and a very broad set of vendors, which are all being very effective. And Sam, as you called out, that helps you get narrow and deep and really drive sell-throughs when you have so many good things going on. So what's happening here is happening there. 
Sam Poser: And one last thing. Have you learned anything the other way, happening at Schuh that might be helping you at Journeys? 
Bob Dennis: There are a lot of things that we can bring back here. We're not emphasizing that right now for the simple reason that as we accelerate store growth over there beyond what the plan was -- the plan was beyond what they had ever done in 1 year in the past. Though the challenges for that team right now in terms of executing their own business is sort of enough to have on their plate right now. So we're -- we think there are probably some opportunities. We're not making that the headline at the moment just because there's just so much to do. 
Operator: We'll take our next question from Mark Montagna with Avondale Partners. 
Mark Montagna: I had a question on just the EPS guidance for the fiscal year that you raised. It sounds like the big hurdle with raising it is the 15 additional new stores. Is that the only hurdle that was holding you back from raising it higher? And then can you give us an idea as to what that expense is on those 15 stores? Because I assume Schuh is quite a bit bigger of an expense considering the size of those stores. 
James Gulmi: Well -- sorry, Mark, it's really 2 issues. It's one, the additional stores and then also the additional expense related to the Schuh contingent bonus accrual since they're outperforming -- since they basically outperformed in the first quarter by so much, the accrual was -- most of accruals taken in the first quarter, but some of it bounces on the back half. So it's really a combination of both of those plus the fact is the Street was at about $0.74, and we turned about $0.98. But as you know, our actual internal forecast was a little higher than the Street. So I'm not really going to give you the exact amount of the, let's say the additional expense in the back half. But it makes up for the most part the difference between what we passed on and what we had as our internal number. 
Mark Montagna: Okay. So when it -- just looking at the additional store expense and the Schuh bonus, is it 50-50 or does it lean towards more those additional stores? 
James Gulmi: It's close 50-50. The stores are actually a bit more, but maybe, it's 60-40. 
Mark Montagna: Okay, all right. And then, I'm not sure -- I might have missed this. Did you guys give an update on your progress with expanding the product on the website and also the larger stores within Canada? 
Bob Dennis: Well, we did call out Canada, so you go back to the script for that. On the Internet, yes, we are looking at ways to have more Internet-only product that would be available to Journeys. Our challenge there is some infrastructure we need to do that, particularly just in the warehouse. And so we're examining that and working to figure out how to do it. And that's very closely aligned with what we want to do with the larger stores in terms of increasing the opportunity there. So those 2 initiatives are pretty closely linked. 
Mark Montagna: Okay. So then with the website and the larger stores, when can we expect to see that new expanded product in both of those places? 
Bob Dennis: Yes, I'll start thinking more like sort of a really having an impact on the businesses. It's a next-year event, not a this-year event. 
Mark Montagna: Okay. And then last question just deals with -- on the last call, you mentioned there's 191 stores that are 2,400 square feet in Journeys. And you're working to make those more productive. What do you do with those 191 stores when a lease comes up? Do you try to exit those stores to go to a smaller store? Or you're committed to those 191 stores even if a lease comes up this year? 
Bob Dennis: Well, in our world, every store is a store, so in -- it's a case-by-case decision. But if we make a decision on one of those stores, it is unlikely because of its size, all right? Once you build it out,  I mean, if you look at the economics of real estate, once you've invested in a buildout, assuming you're not going to rebuild the store again, the economics argue very heavily to stay in place. Plus, we are believers that we can make those stores much more productive. And by the way, they come back since -- what we did is we opened a lot of these larger stores into the teeth of the recession and they have bounced back very nicely. So they're productive, and we just think we haven't really taken total advantage of the opportunity. And we'll see that out there. The truth is very few of those because so many of those were done sort of the middle of the last decade and a lot of them on 10-year leases, we're not seeing them for a while anyway. So we'll actually have a pretty good read on our full potential by the time we start looking at most of those leases. 
Operator: We'll take our next question from Steve Marotta with CL King & Associates. 
Steven Marotta: Jim, the trailing 12 months for Journeys on a sales per square foot basis, how does it compare currently to where you guys peaked in the mid, early 2000s? 
James Gulmi: It's obviously grown, but still I don't believe it's up to where it was when it was -- when it peaked. We're approaching it, but it's not at the peak yet. 
Steven Marotta: Okay. Is that something that you could define offline? 
James Gulmi: It could define? 
Steven Marotta: Yes. The differential between where the TTM is now and where peak was? 
James Gulmi: Yes, probably, yes. 
Steven Marotta: All right. I'll get back to you on that later. And Bob, as it relates -- you sort of spoke about this tangentially on a prior question. But as it relates to where you are and where you thought you'd be from a best practices standpoint between Schuh and between Journeys, what inning are you currently in? And how much more is there to do there? And I know that the Schuh that you had  intimated the Schuh guys are focused on accelerating store growth at the moment but, again, from a sharing of best practices, best merchandising, best brand. Where do you think you are in that process? 
Bob Dennis: Well, I don't think of it is a 9 inning game. We think of it as a game that never ends because the teams on each side of the ocean are continuing to work on stuff that they will share back and forth. So of the stuff that we had identified early on as being the sort of clear and obvious stuff, which is mostly in the world of merchandising, we basically have the processes in place to do that. Our vendors to a large extent, have said yes, we're all over this. We're recognizing that Schuh is part of Journeys. And so we're going to try and bring the same benefits to Schuh that have accrued to Journeys basically because of their size here. So that's just happening, and most of it is rolling into place. Then beyond that, our teams talk all the time. And the topics range very broad, everything from how we operate the stores to how do we operate the websites and what have we learned of what works and what doesn't work, and that's going to be an ongoing process forever. 
James Gulmi: Steve, one thing. I went back and I looked -- when I answered you, it was really I was answering for the Journeys Group. If you look at the Journeys stores by themselves, they are approaching that number. I don't have the exact number, but I think they're pretty close. 
Operator: We'll hear next from Jill Caruthers with Johnson Rice. 
Jill Caruthers: A follow-up on the Schuh accelerated unit growth. Could you talk about these real estate opportunities you've seen additionally for this year? Are they different sites or how do they vary versus the current pace you have? 
Bob Dennis: Well, they're just on trend for what we have cited as the growth opportunity. So where Schuh was most underpenetrated within their home market was Southern U.K. And so not all the new stores are there, but that's where the concentration of the new stores will be. It's real estate in a tight real estate market. And so especially in a place like U.K., and this would be true as Canada as well, when a good opportunity shows up, you jump on it because -- if you can, because the opportunity to find really great real estate is more challenging. So the environment in the U.K. has opened the door for us to be more aggressive. The team at Schuh who, like us here, have a bias to being conservative, at the beginning said let's figure out how many stores we are comfortable opening up because we're stretching our infrastructure beyond what we can. But then came back and said when we combine the opportunities with our confidence in our team's ability to open stores, let's get moving, let's jump on these opportunities. So there's nothing unusual about the stores. They are a mix of mall and high street, which is typical of their mix. And so they're just trying to take advantage of opportunity, which is great for us, great for everybody. 
Jill Caruthers: Okay. And then just last question. I know it's only a few months in, but could you just give us a little bit more color on your understandings of the initial conversion of the Underground Station? Anything you think you learned in the past few months or kind of go over the timeline again, I'd appreciate it. 
Bob Dennis: Sure. What we did is at the very beginning of the year, we made the organizational change. That included integrating the fields. And that's the one area where we think we're getting immediate impact. So there is no longer a structure that has people who oversee the Underground stores and a separate group that oversee the Journeys stores. And what you do when you condense those 2 together is you reduce territory size, which gives people, supervisory people, more time in stores, less drive time, more time at home. It just is a better arrangement. And trust me, a great person in the field can have a lot of impact on a store, especially an underperforming stores, if they get to spend time with the people. And so we think that's one of the drivers of what's going on in our improved performance. So that's one thing. Then we also, at the same time, consolidated and reassigned a number of people here in Nashville into various roles to support a number of initiatives. That was all done. Now in terms of -- our real estate team was assigned the task of figuring out what to do with each store. We had a plan for each store, but in some cases, they were landlord-dependent. And what we just said today is we're finding kind of as we expected, a lot of cooperation from the landlords in supporting the conversion of Underground Station to Underground by Journeys. And so we're in the process -- over the next 6 months or so, of resigning the stores and making some tweaks to the interior to better fit what we want to do. So that's rolling. Then the last big piece, obviously, is the merchandise. And as we rewrite POs, we will start landing goods that are part of the new merchandising plan for Back-to-School. And so we'll see that, and then we'll think we'll have all of that complete for holiday. And so by holiday, we should be pretty much 100% on track for what we do, with the one exception is, we'll still have the challenge of making some systems conversions so that our systems recognize the Underground stores as part of Journeys. And that will be done by the very beginning of next fiscal year in our current plan. 
Operator: [Operator Instructions] We'll hear next from Robin Murchison with SunTrust. 
Robin Murchison: Three questions. One, I wanted to ask you about if you -- if Jim, you could just kind of go over with us the components of reaching that next 150 basis points to get you to 9% operating margin, what has to happen there? I know a key part of it has always been rents, but if you can just go over that. Secondly, I want to ask you about Johnston & Murphy Women's. It looks like almost all the product is on sale on the website. And thirdly, I want to ask you if you'll just remind us if you said what your AUC increase on a year-over-year basis is likely to look like in the fourth quarter. 
Bob Dennis: What do you want to do, the 150 basis points? The 150 basis points, in general, is leveraged. I'll let Jim talk... 
James Gulmi: Nothing's really changed there. The whole 150, for the most part, is leverage. The pickup we got last year from 5.5% to 7% is primarily leverage. Going from 7% to 7.4% this year is primarily leverage and within that leveraged category, we continue to leverage rent. And we've done a good job of tightening up selling expenses and we're leveraging selling expenses also. So the key driver is rent and in selling salaries. 
Bob Dennis: Yes. In women's, we're very pleased with what's going on with the women's business. And so I'm not -- I can't really respond to your observation that product is on sale other than to say, as we learn as we go, one of the things we learn, no surprise, is the women's business is a little faster. And so you have to make your calls on product that is working and not working in order to clear. So that's the only -- our business is fine in women's. There's nothing unusual going on this season, but we are learning that we have to run it a little bit faster. And that might be weighing on what you see on the web. And last question, the... 
Robin Murchison: Average unit cost in the fourth quarter? 
Bob Dennis: Within what business? 
Robin Murchison: Just overall. What you expect the increase or just anything you can say relative to average unit cost. 
Bob Dennis: Okay. Well, let's just sort of back up and realize again that 80% of our business is selling branded goods. And so we had a wave of cost increases that had parallel price increases to preserve gross margin. That's what we were expecting in terms of flowing it through, and that is what happened. And indeed, the customer has -- because you look at the ASPs and the comps, obviously, the customers were able to absorb the price increases. And so we've -- we comped positively both on price ASP but also on units. So that's really what happened in the third, fourth quarter with those increases that have now flowed through. I'm still talking the branded businesses. And we're expecting in the next third, fourth quarter another round of increases but less severe and less across-the-board. And so don't expect to see anything as robust in the next go around in terms of ASP drivers when we anniversary it. When you get into our -- into Johnston & Murphy and into Licensed Brands, we are looking at cost increases. And for the case of Johnston & Murphy, it's coming both from factories and labor, which is what the driver is for most of the businesses, as well as leather. Leather continues to be something that's challenged. And so what we've been doing there is, what we said, we're just testing the market to selectively increase price. And at Johnston & Murphy, we're reasonably successful on having -- of prices pass through. It's probably been the biggest challenge in our Licensed Brands business, which is a more moderate business where the pressures of the prices and the costs show up more prominently because you're already running a pretty tight ship in terms of cost and margins. And so that's just the classic give-and-take between a vendor and a retailer, trying to find out what works for both of them. And that's a battle we continue to be engaged in. 
Operator: We'll move on to Chris Svezia with Susquehanna Financial Group. 
Christopher Svezia: Just one quick question. Just on the Lids headwear, I guess when you guys talk about what worked in the quarter and what you're seeing working, I want to talk about snapback, any color or comments about the action sports piece, MLB piece of the business? Or is snapback cannibalizing some of that as you sort of reference? 
Bob Dennis: Yes. Well, first of all, let's be clear. Snapbacks are an important part of the business, but this is a fairly broadly assorted store. And I don't know what the percent of snapbacks is. I'm not sure we want to hand it out. But it's far from being the majority of the store. It's -- it just came out of nowhere, and so it created a pop. And our observation was when that business popped, the kids that bought that are the kids that normally bought MLB fitted both in the authentic and in the fashion part of it and action sports. And so each of those categories backed up a little bit as the kids went over to the cabinet. Just standing in one of our stores and you can see who the kids are that run over -- it's the classic fashion customer who's on to that right now. And so our expectation is when that cools, and it will eventually cool because we're in a fashion business, that they will move back to where they were, in action sports and MLB, or possibly move on to the next thing that we don't have visibility on yet. But the important thing from our perspective is we have the inventory under really good control. And it's sort of, it gets done for us first because it's still hot that it's -- it had great sell-through. But as a non-fitted hat by definition, it is a less inventory-intense business. So we can run a fairly higher percentage of sales and a lower percentage of our inventory, which really mitigates a lot of our risk. And that's what gives us a lot of comfort on what's going on here. 
Christopher Svezia: Okay, that's helpful. And just on a competitive environment, because it seems like everyone else has sort of woken up to what's going on in snapback and the headwear business in general a little bit more. And your competitors have talked about strength in that business. I mean, as far as you guys see it in how it plays out, by far, you have market-leading position in headwear. You're not seeing anything in the business from a share perspective, it's just maybe the fact that other competitors might have woken up to this business a little bit more. That's really all that's probably playing out, out there. Is that fair to say? 
Bob Dennis: Yes. I think that's sort of fair. But understand that in the headwear business, the 2 things that the customers really care about are the breadth of the assortment, right? Variety wins the day, and we win there. And then freshness wins the day. And -- because of our position in the market, we're the ones that see the next -- you're probably not aware of which hat was last quarter and which hat is this quarter, but the customers in this space know that. And so newness matters a lot. And the other thing from a competition standpoint goes back to what I said. It is much easier to manage a adjustable hat than it is the fitted business. And so we probably lose a notch of competitive advantage in a category that is non-fitted because others can play in that space a little more easily. When you get into fitted hats, which continues to be the bigger chunk of our business, that's when managing size assortments and having an inventory intensity and having great replenishment capabilities matters. And so that's still the big chunk of our business, and that still gives us a big competitive advantage. 
Operator: Your last question will come from Sam Poser with Sterne Agee. 
Sam Poser: I just have a quick follow-up. When you're looking at the plans for the balance of the year and you're thinking about the margins, can you just walk through that one more time and what is going to take to beat? Because it sounds like you're looking at the external stuff a lot. But if you keep on -- and you're expecting things to get worse, not better, is what it sounds like. 
Bob Dennis: Sam, we're being cautious, given the macroeconomic environment. We're very confident right now about the relative position of our stores in terms of if you walk the mall and you say, are Journeys and Lids Sports and Johnston & Murphy, are they well positioned in their space? And the answer is absolutely yes. Our concern, as we said, is the consumers started spending with borrowed money again and that can't go to -- go on forever. So we're cautious on that basis. We continue to have good leverage on our business. So to improve operating margins year-over-year, the low-single-digit comps does that for us. We continue to have success on rent. We continue to not seep upward pressure on wages in the store. And so the 2 biggest cost items are very nicely under control. So reasonably low comps still give us leverage. Jim, would you want to... 
James Gulmi: Yes, Sam when say margins, I don't know what margins you're talking about. You want gross margin or operating margin? 
Bob Dennis: I was talking of operating margins. I said... 
Sam Poser: You've been talking about operating. So I'm just -- I'm sort of just doing it on the larger picture there. 
James Gulmi: Okay. Well, larger picture. We really don't see much movement in our gross margin. We're saying gross margin will be down 10 basis points at the end of the year, but that's primarily driven by, as much as  anything, just mix. We've got Schuh in there for the full 12 months. We've said Schuh's gross margin is a little below Journeys, so that's affecting it to some degree. Peanuts, 10 basis points. And the rest is we're talking about pretty conservative comps going forward, and we're still talking about some leverage, 2% or 3% comps. And we're still getting leverage, which is what we said all along. So that's kind of the story. It's still a little bit of leveraging going on, not home runs because they don't have home-run comps in there and basically maintaining our gross margin. 
Operator: We have no further question. 
Bob Dennis: Great. Well, thank you, everybody, for joining us, and we look forward to catching up with you again in August. 
Operator: And this does conclude today's conference. We thank you for your participation. You may now disconnect.